Operator: Greetings. Welcome to the Perma-Fix Fiscal First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, David Waldman, Investor Relations. You may begin.
David K. Waldman: Thank you, Holly. Good morning, everyone, and welcome to Perma-Fix Environmental Services first quarter 2023 conference call. On the call with us this morning are Mark Duff, President and CEO, Dr. Louis F. Centofanti, Executive Vice President of Strategic Initiatives and Ben Naccarato, Chief Financial Officer. The Company issued a press release this morning containing first quarter 2023 financial results, which is also posted on the Company's web site. If you have any questions after the call or would like any additional information about the Company, please contact Crescendo Communications at (212) 671-1020. I'd also like to remind everyone that certain statements contained within this conference call may be deemed forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and include certain non-GAAP financial measures. All statements on this conference call other than a statement of historical fact are forward looking statements that are subject to known and unknown risks, uncertainties and other factors, which could cause actual results and performance of the Company to differ materially from such statements. These risks and uncertainties are detailed in the Company's filings with the U.S. Securities and Exchange Commission as well as this morning's press release. The Company makes no commitment to disclose any revisions to forward looking statements or any facts, events, or circumstances after the date hereof that bear upon forward looking statements. In addition, today's discussion will include references to non-GAAP measures. Perma-Fix believes that such information provides an additional measurement and consistent historical comparison of its performance, a reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is available in today's news release on our website. I'd now like to turn the call over to Mark Duff. Please go ahead, Mark.
Mark Duff: All right. Thanks, David, and good morning. First, let me take a moment to address the issues associated with the postponement of this earnings call yesterday. As you know, all relevant information related to the Company's filings, a filing period must be considered up to the filing of the 10-Q or 10-K. That said, we received certain new information late on Monday evening that required us to review for potential financial impacts. We're able to complete the review on Tuesday and are happy to be able to report our earnings today. We apologize for any inconvenience or impacts associated with this delay, but deemed the delay necessary to ensure the accuracy of our financial statements. While 2022 was a challenging year due to the lingering effects of COVID-19 pandemic, we believe we're back on the growth trajectory that we were working so hard for. We are finally starting to realize improvements in our performance and the momentum we had prior to the pandemic as evidenced by our results this quarter. I'm pleased to report we achieved a 26.3% increase in revenue and an 83.9% increase in gross profit for the first quarter of 2023 compared to the same period last year. Importantly, we also achieved sequential growth of 20% compared to the fourth quarter of 2022 even though the first quarter tends to be traditionally a seasonally weak period for us. We saw steady improvement throughout the quarter including a strong March, which has continued into the second quarter. It's also worth noting that revenue increased both within our Treatment and our Services segment. The growth in revenue reflects the initiation of several new projects in the first quarter of 2023 that support the backlog in both segments and provide growth opportunities into 2024. As we've recently announced, we were awarded eight new contracts over the past few months totaling approximately $15 million of revenue that's expected to be recognized in 2023 with additional option phases that have a potential value of over $14 million moving forward. These projects included the deployment of our sole solar technology for providing a remediation solution to the abandoned uranium mine program through the EPA, as well as the remediation of dredging settlements for the Department of Defense in San Diego. Other new contracts have been initiated in support of the Los Alamos National Lab and providing an innovative technology for on-site decontamination support for the decommissioning of a nuclear power plant. In addition to this new backlog, we've realized significant increases in bidding activities with recent opportunities requiring our core competencies in support of the DOE remediation programs as well as the Army Corps of Engineers’ cleanup initiatives, U.S. Navy decommissioning projects and several international projects with sustainable revenue potential. Within our Treatment segment, we benefited from a steady improvement in waste receipts. This was a result of increased waste shipments from DOE and expanding our current waste treatment offering to the commercial utility sector. Along with the oil and gas markets and the growth in our industrial waste programs as well. We recently received a new IDIQ contract with a regional power utility to provide waste treatment services over the next five years. Once this contract is signed, we will open the -- this will open the door for new opportunities within utility markets that we've not seen in the past. We expect to see continued improvement in waste receipts and an increase in project work through existing contracts, recently won contracts and bids submitted in both segments that are waiting for awards now. We expect this positive trend to continue over the next several quarters as lingering effects of the COVID-19 pandemic continue to subside. At the same time, we're rapidly advancing several initiatives that we believe have the potential to significantly enhance our revenues and our long-term backlog. Towards this end, we have realized two important steps towards the Department of Energy, but with Department of Energy, the pursuit of the Hanford tank our remediation mission, these include the amendment of the record decision for the direct feed, low activity waste facility, DFLAW, and the approval of the waste incidental to reprocessing or WIR report, which represent opportunities to provide large scale waste treatment services at Hanford. These announcements underscore the importance of our role in DOE strategy for the treatment of Hanford tank waste through the vitrification program that is currently in the final construction phases and start up. This waste estimated by DOE to be over 8000 cubic meters annually will be more than double our current annual production rate at our plants combined. And given the fixed cost nature of our business, we have significant positive impact from this on profitability over the next 10 years. The outlook of the Test Bed Initiative what we refer to as TBI, which also is known as the low level waste off-site disposal project, in support of the DOE Hanford tank disposition program continues to be recognized by DOE as a potential supplement to the vitrification mission to provide a solution for the 59 million gallons of tank waste stored at the site. TBI program, which is based on the grounding technology, continues to progress and we expect to receive the next 2000 gallons of tank waste within the next few quarters. Perma-Fix maintains these capabilities today at our Perma-Fix Northwest facility, which is permitted and outfitted to safely and compliantly grout up to 30,000 gallons per month with the ability to expand to over million gallons a year while dramatically reducing cost compared to vitrification. We're also pursuing several additional international waste opportunities that we believe will provide sustainable revenue in the latter half of this year in both the Services and Treatment segments. We remain optimistic about the announcement which could be any day now of a key procurement in Italy that would support our expansion program throughout Europe. This announcement in addition to the near-term opportunities we have in Slovenia, Croatia, Mexico, Canada and the UK and Germany will provide an increased market potential that will leverage our technologies and our core competencies. In addition, we're pursuing several large waste processing opportunities at large DOE sites that could include waste inventories that have been backed up due to COVID as well as the lack of available technologies to provide high efficiency processing. These waste are expected to provide sustained receipts through the next three or four quarters providing an opportunity from $10 million to $20 million potential annual revenue. Turning back to our financials for a moment, EBITDA in Q1 of 2023 improved to an income of $171,000 compared to a loss of $1.4 million in Q1 of 2022. Aside from our expectations for revenue growth having a positive impact on our EBITDA going forward, we continue to focus on a reduction in our SG&A expenses and billable indirect operating costs. As a result, we anticipate a meaningful improvement in profitability and cash flow going forward. So to wrap up, it's clear to us there is a solid federal budget and a significant backlog of demand that we expect to capitalize on going forward. As a result, we remain confident the balance of 2023 will see a significant improvement over 2022. And as I mentioned earlier, we're seeing continued momentum heading into the second quarter. We continue to invest in our capabilities and our facilities and have a highly scalable infrastructure and believe that we're in a great position to take advantage of this pent up demand. As we continue to increase revenues, we expect to benefit from the predictable cash flows of our Services segment and high incremental margins within our Treatment segment. As a result, we believe we're well positioned to exceed the performance of profitability we had attained prior to the pandemic through increased bidding activities, waste treatment capability expansion and improved federal budgets. On that note, I'll now turn the call over to Ben, who will discuss the financial results in more detail, Ben.
Ben Naccarato: Thanks, Mark. Let me start with revenue. Our total revenue from continuing operations in the first quarter was $20.1 million compared to last year's first quarter of $15.9 million that's an increase of $4.2 million or 26.3%. Our revenue increased by $2.1 million in each of our segments as our Treatment segment began to process the increased waste shipments from backlog that we saw trending upward in the last part of 2022. The improved waste volume received and/or process also led to improvement in the Treatment segment while higher revenue in the Service segment was the result of increased project revenue. Turning to cost of sales. Our total cost of sales were up $17.1 million in the first quarter compared to $14.3 million in the prior year, that's an increase of $2.8 million or 19.7%. In the Treatment segment, our variable or incremental expenses were 25.6% of revenue compared to 22% last year and that's related to higher trends and disposal expenses primarily at our EWOC facility. Our fixed facility costs were also up compared to last year due mostly to depreciation expenses at our EWOC facility as well as unusually high natural gas expenses in the Pacific Northwest, which impacted our Northwest facility. Our incremental expenses in our Services segment were 74% compared to 77% last year due to lower project related expenses. Our gross profit for the quarter was $3 million compared to $1.6 million in 2022, Again, both segments improved with our Treatment segment improving by $614,000 and the Service segment improving by $759,000. The Treatment segment gross profit improvement came primarily from the higher revenue but was offset by a little bit lower margin related to the waste mix and also the fixed facility costs. Gross profit from the Service segment was the result of both increased revenue and the improvement in the profitability of our project. Our total G&A costs for the quarter were $3.5 million or 17. 3% of revenue compared to $3.4 million or 21.5% of revenue in the prior year. The small increase of $64,000 was primarily due to higher employee benefit expenses offset by lower audit fees, consulting fees and salary. Our net loss for the quarter was $411,000 compared to last year's net loss of $1.3 million. Our total basic loss per share for the quarter was $0.03 compared to a loss of $0.10 last year. Our adjusted EBITDA from continuing operations as defined in this morning's press release was income of $171,000 compared to a loss of $1.4 million last year. I'll turn to the balance sheet in comparison to year-end 2022, our cash on the balance sheet was $2.4 million compared to $1.9 million at the end of the year. Our accounts receivable and unbilled receivable were both up -- were up combined by $2.2 million due to an increase in quarterly revenue compared to our fourth quarter of last year. Our current liabilities were up approximately $1.9 million reflecting increased costs associated with production as well as timing of vendor payments. And our backlog at the end of March 2023 was $9.4 million which is consistent with the $9.2 million at the end of last year, but up from the $6.1 million in March of 2022. Our total debt at quarter end was $990,000 most of which is owed to our PNC Bank. And finally, our cash flow activity for 2023, our cash provided from continuing operations was $1.8 million. Our cash used by our discontinued operations was $198,000. Cash used for investing in continuing operations was $748,000 most of which was capital spending. Cash used for financing was $204,000 representing our monthly payments to our credit facility at PNC of $137,000 as well as payments for finance, leases and other financing expenses totaling $67,000. With that, I'll turn the call back to the operator for questions.
Operator: [Operator Instructions]. Your first question for today is coming from Howard Brous at Wellington Shields.
Howard Brous : Mark, Ben, Lou. First of all, I hope that all of you are well and your families as well also.
Mark Duff: Good morning, Howard.
Ben Naccarato: Good morning, Howard.
Howard Brous : You're very welcome. First of all, congratulations on the quarter and congratulations on the opportunity. With full disclosure, I acted as an investment banker for your capital raise of $6.2 million a year ago September. And in addition, I have to disclose that members of my family own shares of Perma-Fix. My question is focused basically on timelines of opportunities. My understanding and I'd like the confirmation of this that the vitrification plant should be operational in Q3 of 2024?
Mark Duff: Yes, Howard, if DOE has published a recent schedule that I've seen at least and although there's been several congressional hearings in regards to the Hanford mission. All indications are they are still on-track for the expectation of getting DFLAW operational in the second half of 2024.
Howard Brous : Which basically means revenue from that in 2024. Secondly, it's my understanding and I'd like a confirmation of this that the 2,000 gallon test is expected to take place basically Q4 2023?
Mark Duff: That is correct, Howard. The current plan is -- it seems to be tracking that way. This general status of a DOE is working with the state regulators for what they call our D&D permit and that basically allows them to pull the waste out of the tank. And once that's done, then it will be able to start extracting the waste or after it's approved, but it's safe to start extracting the waste to get to us and that's expected to be towards the end of this year at this point.
Howard Brous : Thirdly, we had always expected a third test of 300,000 gallons. And according to the multiple documents that are out there, particularly the final waste incidentals to reprocessing this is a long title evaluation for vitrified low activity waste and secondary waste at the Hanford site. In that document, there are several mentions of not having 300,000 gallon test in 2024. But by implication and clearly, you're going to be the permit for a larger, my understanding is that sometime in 2024, Q3 they will probably go to not 300,000 as a test, but a full scale TBI 4 million gallons. I know you would need an additional permits for that and a 60 day commentary, but what are your thoughts about that? That's my understanding for 2024 basically Q3.
Mark Duff: Yes, that's largely right, Howard. Generally, DOE as I think I mentioned in the last call has what they call a road map for the tank mission. And TBI plays a major part in that. It's definitely true that Phase 2, which is the 2,000 gallons, which we just talked about should be later this year, was to be followed up with a Phase 3 of 300,000 gallons that phase appears to have faded away and DOE has talked about moving directly into an operational phase or what we used to refer to as 300,000 gallons. But generally moving forward the grouting campaign after the Phase 2 is over. So, DOE doesn't share that roadmap with us in regards to how it all fits together. We're anticipating that because the regulatory approvals are in place and all view it has really has to do is decide to move forward with that next phase what we used to call Phase 3, which is an operational phase. That can happen several months after 2,000 gallons is processed and we'll have to generate a report on how [Orec] (ph) and the performance of the grouting, that type of thing. That'll take several months to get all of that approved. So we'd likely be sometime in late 2024, we'll start to see more of an operational receipt of ways for grouting. At least that's what we're expecting.
Howard Brous : National Academy of Science, which is absolutely in favor of grouting and their comment is that using grouting could save the government about $100 billion over the period of time. They're having a webinar in Richland, Washington on June 6 to discuss TBI, the grouting method and the fact that this is a massive saving to the government. Any comment about that?
Mark Duff: Yes. They have those periodically up in near Hanford, Richland. And we typically attend those and participate as appropriate on those in regards to questions and answer those kinds of things. We'll definitely be there for that. And they just wrapped up their final report last year. I'm not sure if you had an actual meeting since then, so I assume that they'll talk about their final report and their findings and address with the [EU] (ph) directly what the intentions are for moving forward with the grouting as well. So National Academy of Science in support for grouting has been a big boost to the credibility of the program and the analysis they've done in their 500 page report is the basis of a lot of the decisions by DOE to start considering grouting as a supplement to the DFLAW facility.
Howard Brous : So one comment. My understanding that the unions and the Umatilla tribe have been the bane of our existence for getting movement in TBI and it's my understanding that both have one change their opinion and both have written letters to the various government entities in favor of moving forward with TBI. Can you comment on that, please?
Mark Duff: That is true -- that's very true Howard and we certainly appreciate their support on both fronts. Yes, the Umatilla’s and the UA598 union there, which is central to that area, have both written letters, either to congressional delegations of the state and DOE as well and both endorsing the grouting approach and the support to expedite implementation. So, yes, that's been an important part of moving forward with this to get their support and that plays a big role in DOE's position as well. So that is all true.
Howard Brous : I have one more question then a comment. The question is basically some people have called me up and asked, well, is there competition from other entities like Waste Solutions, Energy Control systems. And the answer is my understanding is there is no competition. And the reason I understand that is it would take three, four, five years to get the permits, two, three, four years to build a plant, that's one. And secondly, you'd have to cross probably via rail to Umatilla tribe land and basically you're going to cross with radioactive material that's almost creating a Chernobyl type incident looking at Palatine, Ohio. But it's basically the comment that I've just made is that a correct statement?
Mark Duff: Yes. The bottom line is that there is not an existing facility in the regional area that has the capabilities to support the grouting that we're talking about a facility that's permitted, constructed, and ready to go. And then I think a company would have to go through getting that permit, which would be very, very difficult. It take quite some time, get through construction and everything goes along with that would be a minimum of five to seven years and maybe longer and maybe not even able to get the permit based on the public comment requirements that you have to go through. So it does limit our competition for a local facility and makes that barrier to entry, very high. As far as shipping you’re absolutely right, Howard, the shipping raw waste after it comes off the TSCR from the tank to another facility off-site, which would at least be 600 miles would have to go through the Umatilla reservation and would not be the safest way of handling this as opposed to treating the waste at a local facility, which is right outside the Hanford fence basically. So it would not be an optimum way of doing things and would be -- have safety concerns as well as financial issues that would make that much more difficult, which puts our facility there in Richmond in a very key position and with very difficult barriers to entry for anyone competing with us on that grouting technology for the tanks.
Howard Brous : So my last question of understanding is, when you talk about 56 million gallons of stuff in 177 tanks. But my understanding via your consultants and others is probably 200 million gallons that need to be treated because all of the water was drained from these tanks years ago and you need the water to implement vitrification. So effectively, you're not treating 56 million gallons over very long period. It's been 200 million gallons roughly. Is that a correct statement?
Mark Duff: Yes, that's exactly right. We don't talk about that much. So basically, to save space in these tanks, DOE over the years has pulled out the liquids. You can add more in there into those tanks and save a lot of money and space if you extract liquids and concentrate the waste you're putting in. And that's been done pretty much all the tanks. There's some of that little bit more liquids than others. But to get the liquids out, you have to add slurry to the tanks, the waste material to pull it out. So you're absolutely right, whether it's a two or three or four multiplier is difficult to say depending on the matrix you're extracting, but that is definitely true that it would be definitely closer to 200 million gallons, but of total material removal of those tanks after you consider the addition of the slurry you have to put in. So it's important concept because remembering that the DFLAW facility is designed to process about million gallons a year when consider how much total waste they've got. DOE definitely is in need of a supplemental technology and capability to be able to treat those tanks in a reasonable amount of time as opposed to just million gallons a year over 200 years. So that is an important point in regards to the inventory and what the backlog or inventory waste is at Hanford.
Howard Brous : Well, if you guarantee its 200 years, do you guarantee we'll all be alive by then?
Mark Duff: Yes, no one guarantees that, Howard.
Howard Brous : I know. Last comment. By implication with TBI and DFLAW, you're really talking about revenues and earnings in 2024. Is that a fair comment? And the second point after that, it will be my last, but can you comment about that, please?
Mark Duff: Yes, I mean 2024, we see a ramp up in late 2024, between DFLAW waste that DOE identified in that ROD amendment and startup of TBI and a number of other things. We see a ramp up in 2024 and really to get chug it in 2025. So 2024 well, the second half of the year, we would definitely expect to see some increased revenue based on those objectives. There will always be delays one way or the other, but we also have a number of other initiatives that are going running in parallel with those. That I briefly mentioned in my notes. And so the back half of 2024 really looks like the ramp up period with 2025 being the operational period for some of these big initiatives.
Howard Brous : Well, if both are operational in 2025, based on there's a research report out there that implies certain margins. But if I use those margins for what we're talking about in terms of DFLAW fully operational and million gallons in TBI. My number comes out and I'd like a comment. We're talking about Perma-Fix earning roughly $5 a share just from this project.
Mark Duff: Yes. Howard, there's a number of variable cost variables that are not yet defined relative to defining EPS for these things, for these initiatives. But in general, that would be in the range that I would assume as well given the anticipated revenue and the cost and the margins as we would anticipate them. A lot of things can change in regards to rates and other components. But that's generally in the range. I would agree that's certainly in the range of EPS targets.
Howard Brous : Mark, Ben, Lou. Thank you all. Congratulations. Talk another time.
Mark Duff: All right. Thanks, Howard.
Ben Naccarato: Thanks.
Operator: Your next question is coming from Brian Russo at Sidoti.
Brian Russo: Hi, good morning.
Mark Duff: Good morning, Brian.
Brian Russo: Hey, just want to clarify, is the TBI ramp up where there's full production or Phase 3, $300,000. Is that at all contingent on DFLAW being fully operational? Or are they two completely separate tracks for the DOE?
Mark Duff: Well, that's a really good question, Brian, because it gets back to the DOE road map. And that's about the only reason or the only way they're really tied to each other. There are two different programs two different objectives. The waste can come from the same source, the same tank or it can come from different tanks in other words. DFLAW is going to -- is hardwired by plumbing through some specific tanks. TBI could get waste from those tanks or other tanks. But the roadmap is important. The roadmap is DOE's strategy of how it's all going to fit together, how funding is going to cover everything, how they're going to close tanks on an optimal basis between the use of DFLAW and the use of grouting. So they are tied together and not so much physically necessarily as it is strategically and DOE looks at it as a program where the TBI program, the grouting program will be a supplement to DFLAW. As I've said in other calls, DOE has said repeatedly, their goal is to get DFLAW operating and then supplement that with TBI, which means core grouting, which means one could say they want to get that facility operating. First, having said that, if there's delays -- additional delays, if there's other continue pressure on getting moving to grouting, that would accelerate the TBI program or the grouting program. So they are tied in some instances, but not necessarily physically.
Brian Russo: Okay, got it. And then assuming that the DFLAW facility is on schedule for a ‘start’ of operation in the second half of 2024. How long do you think it would take to actually ramp up to full production or capacity?
Mark Duff: That's really hard for me to say. There's two melters at the DFLAW facility and I know we'll get the first one rolling, as I mentioned, late 2024. The other one would anticipate to be coming right behind that one. I don't know how far behind it is, but one would anticipate a facility of that complexity that it would take six to 12 months be fully operational to get to the full million gallons a year. But I'm speculating, I don't know the schedule. I don't think it's been published. So I'm not sure exactly when the second melter will come online, but the first one is, as I mentioned, is scheduled for a late 2024 and one could assume that sometime in 2025, it will be fully operational.
Brian Russo: Okay, great. And then can you talk about some of the larger opportunities that you've discussed in the past? If it's the OSMS in Ohio and Kentucky or the JRC, which I think you mentioned earlier in Italy. Then the soil sorting with the EPA. I assume the award you won was not in Navajo, but are there others that are close to being awarded?
Mark Duff: Yes. So from OSMS, OSMS which we have a significant role in is due to be announced any minute. And by DOE, that's the Kentucky in Ohio. Lexington job audit valued at about $3 billion. So we're waiting to hear on that. And that's due to be implemented, in other words, skip through transition or full month transition and implement by the end of September. So they have to make an award in May to meet those goals based on the whole schedule. The other one, JRC is early job, that's correct. We are waiting to hear about that. We've gotten some indication from them that we should hear literally any day now. So we're expecting to hopefully get announcement together as soon as that contract is signed, which will likely require some negotiation before we get there. But that would be starting this summer. And that's in the $40 million range $40 million to $50 million. We also have another one we haven't mentioned in Croatia that we're bidding on that is in the $20 million range that would also start this summer. We should hear about that. In June, and we have abandoned uranium mine, which is often running its transition -- or it's mobilizing now. As I mentioned, that's only about $1 million job, but once -- we're expecting one to get rolling that it will continue. All indications are that's a correct assumption. I don't have a good revenue projection on that or anything like that. There's not any other task or is it we've seen come out from that IDIQ, but we are expecting some action on that through the summer. We also have several new bids that we're comparing right now for the Navy for some facility -- for a facility demolition as well as safety decontamination as well as submarine to be decant and then the enterprise aircraft carrier and the Nimitz is right behind that. So both those are $1 billion jobs or in that range. The rate of Sam Rayburn, it’s a submarine that's near term that should be starting in the summer. We're in procurement space now on that. So a lot of really good jobs like Los Alamos has a number of very exciting jobs coming out that we're -- it's coming out through our IDIQ. So in other words, just limited competition, all to be awarded this summer. Really good backlog, Brian of opportunities that include summer mobilization this summer that will allow us to really bolster our Q3 and Q4 numbers and into next year. If we if we win our share. So hopefully we win our share, hope we win more than our share. And there's a number of other ones too, smaller ones I haven't mentioned. And number of other ones that I don't know about yet that they'll be coming up as procurement. The procurement process starts getting back into full swing after the impacts from COVID.
Brian Russo: And then just lastly, the $15 million of revenue from the new contracts that you noted earlier. Did you realize any of that revenue in the first quarter?
Mark Duff: Very little of it. There's probably a couple hundred thousand, not much. The way our projects typically start out is particularly services project is there's about a month, six weeks of document development typically about $100,000 or $100,000 there where you're putting together procedures and plans. And you got to get approval from the client on. That's what typically happens. That got underway in March where we're starting to see the real revenue pickup now in May. And really hit full stride in June, July. So very limited, there was a little bit of waste receipt associated with one project in March of maybe $500,000 or $800,000, but again everything is really kind of starting in Q2.
Brian Russo: Okay. So is that in your $9 million of backlog, which was flat versus last quarter? Or is it going to be incremental in theory?
Ben Naccarato: No, that's within the backlog number I gave you. But it's -- well, let me explain that. The particular project we're talking about, the shipments kind of come and get treated fairly quickly. So there's very little of what's left of the one project in it. So I would probably say a small part of it.
Brian Russo: Okay, great. Understood. Thank you very much.
Mark Duff: Thank you, Brian.
Operator: Your next question for today is coming from Ross Taylor at ARS Investment Partners.
Ross Taylor: Thank you, gentlemen and congratulations on both a real nice quarter and also pretty amazing outlook. I wanted to ask a couple of questions. First, you talked a little bit about Europe and you mentioned Germany in your prepared remarks, can you talk about the German opportunity? It would seem that given their denuclearization program, it might be something that could be a fairly lucrative opportunity or a number of them there.
Mark Duff: Yes, Germany has been going really good for us, Ross. We've been receiving waste from a commercial company over there for about 18 months now that makes sources for medical industry and all kinds of manufacturing industries. We've been receiving a shipment about every three or four months and that's going to continue. We signed a long term contract with them for that to continue. The thing with Germany is they're building a national storage facility and to support all the country's ways. It's not a repository, it's not a land for anything like that. It's a storage facility. That's still in the construction, but to get waste in there has to meet certain characteristics and has to be treated in a large number of cases. That's been great for us. So folks are shipping us this ways to treat it so they can put it in that facility once it gets open, which is in next year or two. But in addition to that, what you're describing is the decommissioning of the reactors, There is significant opportunity to support that and there's a couple of brokers or companies have been hired by the power utilities, the commercial utilities that manages reactors that we're working with to support large scale treatment initiatives. And those are just unfolding. We're just starting to work with the regulators to get the paperwork in place to provide treatment services. Once we get -- if we do get our facility up in operating in the UK that I've mentioned before in press releases that would support the German markets in a big way. But even before that, we anticipate being able to start treating in the U.S. in about 10 to 12 months if these other arrangements can keep moving forward. So big, big opportunities in Germany and very limited capacity, very limited competition and very few alternatives for those folks as they start their decommissioning process.
Ross Taylor: You actually just answered my next question, which is what the European competitive environment look like. Can you also -- you mentioned the Navy. Can you talk about -- and the fact that they're moving ahead with early steps on the Nimitz. Can you talk about how you see this playing out there or you've talked in the past about there being a very limited number of firms that can do what you do. You have submarines, you have multiple carriers. I would believe are these going to be multiple year projects and programs for each ship? What's that look like and when do you think we need to see more concrete steps out of the Navy?
Mark Duff: Yes. The enterprise, which is obviously famous aircraft carrier has eight reactors on it. It's kind of the model. We're assuming it's kind of the model. What that's defined as is through their environmental impact statement. They see a five year program to decommission that carrier and what they're basically asking you to do is to decontaminate it, remove the waste and radiological contamination off the ship and then scrap it. And all of that is to be done in a five year period. It's a fixed price job. It's very high risk and they're asking pretty much the bidders to privatize it. In other words, you have to take the ship off their site, which is currently in a Norfolk shipyard in one of those coveted slips there and take it to your facility and do all of that work. So there's very few places that could do that. There's only a few ship breakers in the country. There's only a few firms that would take this kind of risk. And there's only a few firms that have these capabilities. So the way that things are going in the enterprise and I'm speculating now, Ross, there will probably be three bidders three big teams and we're working with several of those right now to define or develop team arrangements with them on the enterprise. Then our fee is due out here in the summer and draft and supposed to be final in Q4 for award the summer of 2024. And to really get rolling to 2025. So the Nimitz are right behind it, the same waiver as I mentioned is this summer, which is much, much smaller. And there's about a dozen other nuclear ships in waiting. So these old ships are taking up as I mentioned very expensive of slips and maintenance and security requirements and not providing any value to the Navy. So they're really starting to make a push to get them out of their hair and get that expense out of the way. So it's an exciting program for the business we're in.
Ross Taylor: Okay. And you mentioned that you're working with several teams and you said there are basically three players, so I assume several means more than one and less than four. Is there someone you're not working with in this process?
Mark Duff: No, we've met with or casually talked to all of I think all the companies that are dancing in this. Each one of those bidder, each one of those bids, as I mentioned, three bids will probably include three or four companies. So it's pretty close to the same folks that are doing a decommissioning and the type of work we're talking about now and that we're in. So it's the same group of folks that are getting their feet wet on this. I guess I mentioned, because we're doing the USS McKee, which is really like the one of three ships that have been done recently in the last five years. It's a really good qualification our clients very happy. We're right on schedule. It's quite a complicated project and puts us in a good position to really help team out. We are not priming -- we will be a primary sub to the big boys or a big boy.
Ross Taylor: That's a great place for you to be on these programs towards these efforts. Real quick, DFLAW and the like, would you expect a new contract for that or do you see that operating under contracts you currently have and just basically being fit into those contracts?
Mark Duff: Yes, Ross, we do have existing contracts, two that could be used, one with the DOE out of Cincinnati, which is a national contract, an IDIQ contract, which covers most of its kind of waste. That can be used or we have one with the incumbent for the ITDC contract, the one that just got awarded that we're not unfortunately with. And the one where the incumbent on -- we're worth the incumbent on would likely be novated over. It has been in the past. We'd anticipate to and we just rolled it right over to them and be able to support that. So I would anticipate that would be the case. Our contract could be novated.
Ross Taylor: Okay. And so in essence, it's not the situation where we'll be looking for a press release that you've won a major but what we will see is change in revenues and profitability and things of that nature, cash flow, all that comes with that.
Mark Duff: That's correct. I'm glad to mention that because that's exactly right. We'll likely receive a task order RFP that will be very just handed over to us and under that contract, we put a proposal together for a certain amount of units depending on the characteristics of the waste you're talking about and they'd make the award and would have very minimal visibility. But pretty much be as you said, we'd see the increase.
Ross Taylor: Okay. And then I just have two last questions, both should be reasonably quick. How close are you to generating meaningfully positive EBITDA? You kicked up a real nice quarter here. It sounds like you're going to start to kick up some meaningfully more powerful quarters as the year progresses, more profitable quarters. How far away can we see positive or meaningful EBITDA next quarter, the quarter we're currently in Q2?
Mark Duff: Yes. We're about obviously halfway through Q2 right now. It looks like where we're sitting at this point in time, we're expecting Q2 to be profitable with a positive income. And as I said, think of it as a trajectory we've been on from Q1. So yes, this quarter we're expecting to be to use your phrase meaningful profitability.
Ross Taylor: Congratulations on that. That's a real big positive step. And my last question is, given the uniqueness of this Company, given the role you play in these opportunities. I mean quite honestly right now, I would think that your Company to a strategic player would be far -- we're far more than the $9 and change that it's trading out in the marketplace. Have you been approached by strategics about the idea the Company has stated it's interested in being bought. But have you been approached by them at this stage inquiring us to whether this is a time and what it might take to get you to sell the Company now?
Mark Duff: Yes, Raj. We get that question frequently. We pretty much have to say we can't comment on folks approaching us as far as acquisition goes. But the standard answer is we're always for sale. I do think that folks have watched us for quite some time through the COVID period to see if we'll get profitable again and to get over it. And I think now that we're demonstrating that, there'll be more interest. But I can't comment on anyone talking to us now.
Ross Taylor: What I will say is the fact that there is an answer if you give if it’s no. So the fact that you're not saying no will tell me that that's yes. Well, thank you very much, you guys are doing a real knockout job. I think this is a story that honestly it times feels too good to be true, but you've worked hard at it, so congratulations.
Mark Duff: Thank you, Ross.
Ben Naccarato: Thank you, Ross.
Operator: Your next question for today is coming from [Anthony Harpel] (ph), a Private Investor.
Unidentified Analyst: Hey guys. Good morning. Mark, Ben, hope you both are well and congratulations on the quarter.
Mark Duff: Thanks, Anthony.
Unidentified Analyst: So Mark, can you please give us an update on the status of the treatment facility in the UK. You are partnering with Westinghouse on?
Mark Duff: Yes, Anthony. I know it's kind of complicated. What it comes down to is we put that agreement together with Westinghouse and really spend a lot of time on it. And what we -- the way its written is it's primarily contingent on award of the JRC contract. So that was important to us. So we had a base contract, base revenue, base margin that would be generated to cover our costs for that facility. And so we -- the arrangement we have right now is we have a term sheet with Westinghouse. We have initial designs developed. We're working with them today on designs regularly on some modifications of different types of technologies we'll be deploying in the facility and we're waiting to hear on the JRC bid. So if we win the JRC bid, we'll sit down with Westinghouse again since a couple of years has gone by since we did agreement, make sure it's all still feasible and the numbers all work well, which we expect them to and then make a decision move forward with capital investment and then the clock starts. And the clock is basically Westinghouse is saying that we should be able to get through the construction in the permitting phase in the 18 months to 24 months. So then we'll be -- should be fully operational over there in the UK. And again this is Springfield sites just north of Manchester and the UK.
Unidentified Analyst: So you just answered one of my questions. So permitting in construction would take 18 to 24 months that wouldn't begin until you receive confirmation of the JRC contract award. So what is the timing of the JRC contract award announcement?
Mark Duff: Any minute. Any minute. So yes, there's been informal discussions with them. They are planning to make an award at any time. We told us that repeatedly. There's some questions that they'll send to the winner and hopefully that's us. And the winner will have some time to get to these questions and then they'll make an announcement. That's my understanding of the process.
Unidentified Analyst: And what might be the size of that contract?
Mark Duff: It's in the $40 million range for the initial, actual bid close to $45 million. The initial scope of work. The RFP is for -- or the project is for seven years within the contract. They've requested in the RFP that that be extended to 10 years to provide capacity for other waste backlog and inventory they've got on-site. So it would likely grow from that and really not start generating revenue for us for about a year. It would be about $1 million here for the first year or so, $1.5 million and then waste starts to ship in about 18 months.
Unidentified Analyst: So the $40 million to $45 million is that -- I mean, if you win that award. So would that $40 million to $45 million flow to you in Westinghouse entirely or would the amount of revenues that would flow to you in Westinghouse be some portion of that $40 million to $45 million over time?
Mark Duff: And this is still in procurement space. So I'm getting a little uncomfortable talking too much about the bid itself. So probably should withhold answering that question until an announcement is made. And then I can explain it to you if we're selective for that contract. But anytime you're in a procurement spot, certainly don't want to assume that we don't have competitors listening and that type of thing.
Unidentified Analyst: Okay. Can you comment on what would likely be the production capacity of this UK plant if you go ahead and build it?
Mark Duff: There's a lot of variables in regards to that question, Anthony, relative to the size of the final design, backlog, all those types of things. But I would anticipate our portion of revenue. Again, it's it would be a partnership with Westinghouse. It would be between $10 million and $20 million at full capacity annually.
Unidentified Analyst: And what about though just in terms of the amount of waste that this facility could treat?
Mark Duff: Yes, I couldn't answer that at this point because it all depends on the types of streams you're receiving, whether it's combustible waste stream or sludge or some other process waste. It will be a complete variety of different types of waste. What it basically is going to be and this is in our press release. It's going to be the same technology that we have at our Richmond facility. We'll be deploying at this facility. So it will be two incinerators and -- but they'll be obviously, brand new with the latest technologies, so an upgrade from what we've got now and we'll make -- we've already made some engineering modifications to those to be super-efficient. And a lot less expensive to operate. So we're excited about what this facility is going to look like.
Unidentified Analyst: And it sounds like designs are still a work in process that you both if you do win this award haven't settled on what the final design might look like. Do you have a sense at this point of what it would likely cost to build this facility if you get the business that you're expecting?
Mark Duff: Yes, I really can't get into that either at this point, Anthony. It'd be such a -- there's just too many variables at this point to define because a lot of it depends on the Westinghouse component of it. We're providing a technology for treatment they're providing the facility in the permit and that's what's changing a lot. Whether we use an old facility or put a new facility in, whether they add other capacity or capabilities to that facility, those questions haven't been all worked out yet.
Unidentified Analyst: Okay, all right. Well then I'll stop there. And then just one other question related to one of the data points that you did provide in this call, which was your backlog. I believe the number was $9.4 million. How much of that is Treatment versus Services?
Ben Naccarato: Hi Anthony. I'll clarify. The 9.4% is all Treatment. It's our waste backlog, our Service backlog well, at the quarter, it sat at $25.3 million but that's because we had about $5 million of these new awards we talked about that were unsigned. Those are now signed. So to this day, it's approximately $30 million in services.
Unidentified Analyst: Okay. All right. Thank you, gentlemen. Great job. Keep up the good work.
Mark Duff: Thank you, Anthony.
Operator: Your next question is coming from Aaron Warwick at Breakout Investors.
Aaron Warwick: Hey, guys. Thanks for taking the call.
Mark Duff: Hey Aaron.
Aaron Warwick: I think pretty much everything has been covered. I just had two quick things I wanted to confirm with you. First of all, as it relates to the DFLAW facility, it's my understanding -- I want to see if this is correct that the DOE can't really continue operating that facility without you guys taking care of the secondary waste because they have no ability to store or take care of it themselves on-site. Is that accurate?
Mark Duff: That's a pretty definitive statement. Right now, I would say there's no other Treatment capacity available for the secondary waste coming off of DFLAW, which is why the ROD rewritten the way it was, the amendment to the ROD. So there is very, very limited capacity to treat that waste that would come off. I don't know what else they could possibly do with it or they would have defined it in that ROD amendment. So I think it's a true statement.
Aaron Warwick: Yes, very diplomatic way for you to say what I said. As it relates to TBI, the only other thing I wanted to ask about it's my understanding that there's about 500,000 to 600,000 gallons of waste that could be treated using TBI that would, if obviously there has to be the permitting and all of that. But let's say that that all came through tomorrow that they would be able to send that to you. In other words once you complete this test of the 2,000 gallons successfully that it's just a matter of getting that permitting going and stuff and there is waste ready to be sent to you if they chose to go that route. Is that accurate?
Mark Duff: That is completely accurate. They have what they call the TSCR and TSCR is pulling waste out of those tanks now stripping the cesium and iodine off that waste so that it's considered low level. [Indiscernible]. And that waste has been accumulated in a separate tank. DOEs goal is to have 800,000 gallons pulled out of the big tanks into the temporary tank by the end of this year. And what we -- met with DOE on several times is trying to convince them that, hey, that 800,000 gallons don't stop pulling that waste out of tank waiting for DFLAW, why don't you just go ahead and grout the waste that's in that tank and keep the TSCR moving? And not wait for DFLAW. And that's a consideration that the DOE has in front of them. I don't know if they'll consider that. I'm not sure again, that gets back to the road map, but that waste could be grouted tomorrow. And it could be pulled off of that temporary tank.
Aaron Warwick: Well, yes, to your point, there was testimony by [IDIQ] (ph) in the Senate in April that indicated that they're going to be moving forward with TBI. In addition to the DFLAW facility. So that seems like a possibility. And I guess also then the final thing for me as it relates to TBI would be it seems like all of the stakeholders for the first time since this was first proposed and I think 2016 seem to be on the same page now including. I know there was talk of the tribes, but also the labor unions seem to be supportive of this. I think perhaps realizing the DFLAW is going to move forward and that TBI is not a competitor, but rather supplement is that a fair statement say the wind seemed to have changed in that direction?
Mark Duff: That is a fair statement and that’s been a result of a lot of work for other folks that have been supporting TBI, particularly us and a few other companies that support us, but that is true. And I think it's come to fruition that folks have realized the value of the grouting it provides for closing some tanks and how much sense it makes. It's been a long time getting that point across. And we do emphasize at all, it’s a supplement to DFLAW. We certainly respect DOE's investment in that capability and the reason of doing it. And hopefully, if you look at numbers, Aaron, hopefully, DFLAW, it's going full speed ahead and TBI does in parallel and then it certainly is a big opportunity for us.
Aaron Warwick: Hey, thank you guys. Appreciate it. Good luck.
Mark Duff: Thanks, Aaron.
Operator: Your next question is coming from Avi Fisher at Long Cast Advisers.
Avram Fisher: Hi, Mark. Thanks for taking all these questions. Just one, I apologize if it's been asked, but I was curious about just overall availability of labor and what you're seeing in the sort of industrial labor markets on your end? Thank you.
Mark Duff: Well, Avi, that's a good question. Labor has been a risk for us. I mentioned I think it was the fourth quarter call that we really -- I think we've described as a headwind for us. We had a pretty big exodus of labor in December because the DOE site at Hanford had a big hiring spree. They had a big early retirement initiative and we lost a lot of people and that impacted our Q4 numbers. We were able to hire quickly through the month of December into January. It takes about a month for someone off the street to become trained at the technician level. So we had an impact to January, February productivity. March was fantastic. People were rolling. We do have a few job openings now, but the surge of folks leaving has definitely subsided. And so just a one here, two there kind of an impact. So to answer your question, it looks like the labor headwinds are behind us and we've been able to project Q2 with very limited labor impact, if any. And that's one reason why we've been able to get healthy is getting that problem behind us. And we don't see it happening anymore. It could at Hanford particularly. But right now, it looks like we've got it behind us and the impacts are limited.
Avram Fisher: Thank you.
Mark Duff: Thank you, Avi.
Operator: Your next question for today is coming from [Chuck Dickison] (ph), a Private Investor.
Unidentified Analyst: Good morning. Just one question on supply for doing the grouting of raw materials. If you could do 30,000 a month scaling up to a million gallons a year and hopefully maybe you get something even before the DFLAW. But either way, you obviously have a timeline of your own and a road map of your own. Where do you stand on that with regard to assuring the raw material supply for all this grouting you're going to need to do? That's going to be a heck of a lot of material. And can you speak to whether you source that supply from multiple sources? And can you source it domestically as well?
Mark Duff: Yes, we've had problems in the past. Chuck, again, I think it was the fourth quarter. We had -- our supplier had some issues getting us what we needed. We do grouting all the time and now so it's not just for TBI, but TBI certainly as you mentioned is a significant increase in volume. We do have other sources we can get grout out from if there was a shortage. It's not it's basically a recipe of like cement based on some very defined specific characteristics in chemistry. And so we don't see that as a problem. There's multiple sources that we could get this from and we don't see that as a primary risk at this point in time.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question for today is coming from Stephen Fein at Sofein LLC.
Stephen Fein: Good day. Congratulations on a nice quarter. I got a couple of questions. First question, Mark, is it not true in the ROD that came out in January that they accented that they wanted everything shipped by truck, shipped short-term. And then in addition, like sections like one, the treatment of acetyl nitrate, what really ensure your position versus competition?
Mark Duff: Yes, that's an important point, Steve. The nuance with any other type of waste treatment that we do and anybody does commercially in Hanford is the DFLAW project requires that the waste that comes off secondary waste goes back to the Hanford site for disposal in the local landfill that they've got, which is a very large investment, a brand new landfill that support these initiatives. So because of that, it would not ever make sense to ship ways off-site or excuse me, out of the region for treatment and ship it back to Hanford for disposals. It does provide an additional law barrier of entry for other companies in support of the DFLAW program to have anything but a local opportunity for waste treatment.
Stephen Fein: My second question is -- thank you, my second question is when you get the business relating to the TBI and then if simultaneously you're getting secondary waste from DFLAW. Have you considered handling both of these or would that represent extraordinary issues for you or is this something that you know you could do? So in other words, you would be treating directly, but also treating secondary waste?
Mark Duff: Yes. No, we would need to make some capital improvements if we were to get full capacity at both those facilities, both TBI, grouting and DFLAW. We do expect as I mentioned before to ramp up through 2025. So we don't see that ever being a critical path for us. We can handle a significant amount of grouting now and a significant amount of DFLAW ways now with the capacity we've got. So, I don't see that happening until or needing that capacity until late 2025 or the earliest. And we would worry about those capital improvements. And all in, I think to get the full capacity for all of the waste streams, again, it wouldn't be more than about $5 million to $10 million of capital improvements.
Stephen Fein: Alright. When you're talking about some of the European stuff beyond this plants you're talking in England like we are talking about Germany. So where is that going to be done? Is that going to be done in Germany? Is that going to be done here? For example, if you did work in Germany, where would that be done?
Mark Duff: We're getting waste from Germany now. The waste we're getting now from Germany, it goes to Perma-Fix Northwest. And it's the primary -- I think about there is about 10% that goes to our Oak Ridge facility DSSI as well, but primarily the technology that's needed for those folks over there is the incinerator. And we know we've long reduced, stabilize the waste and ship it back to them. So we get 70% or 80% volume reduction and that reduces their inventory -- their storage inventory footprint and stabilizes as well. So we anticipate that to continue using that facility.
Stephen Fein: All right. So I did catch when I was looking at the financials that particularly on the treatment, your margins were a little down. But definitely improves a significant improvement. Do you guys think as time goes on that you'll be able to pass on the extra cost or will that just be a function of larger volume?
Ben Naccarato: Hi, Steve. Yes, we expect improvement. There was a mix of waste component to the lower margin on the Treatment side. Our EWOC facility does a little bit lower margin than our normal waste treatment. So as we see the waste treatment volumes at our traditional three facilities ramp up, we expect to see the upward trend on the margins.
Stephen Fein: Okay. I just want to make one last statement to be brief for a change. I do applaud what you're doing. I thought when you lost the contract and you came out and made the statement how they're going to need you and you'll be an integral part of that and that is such a reality it didn't be nice if you won, but you're needed out there. And I think the most important thing that at least I take away from this is the diversification that you're seeking and that's happening. I envision a Company here that's going to be a sizable Company like $150 million to $200 million plus Company without Hanford. And then if and when Hanford happens, that will just be icing on the cake. So I think it's just a wonderful story. I applaud you all. I applaud the quarter and just congratulations.
Mark Duff: All right. Appreciate your support, Steve.
Operator: We have reached the end of the question-and-answer session and I will now turn the call over to management for any closing remarks.
Mark Duff: All right. I'd like to thank everyone for participating on our first quarter conference call. We remain extremely confident in the outlook for the business. We appreciate the continued support of our shareholders and we look forward to providing further updates as developments unfold through Q2. Thank you very much.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.